Operator: Good day everyone and welcome to Charles River Associates' Fourth Quarter 2023 Conference Call. Please note that today's call is being recorded. The company's earnings release and prepared remarks from CRA's Chief Financial Officer are posted on the investor relations section of CRA's website at crai.com. With us today are CRA's President and Chief Executive Officer, Paul Maleh; chief Financial Officer, Dan Mahoney and Chief Corporate Development Officer, Chad Holmes. At this time, I'd like to turn the call over to Mr. Mahoney for his opening remarks. Please go ahead.
Daniel Mahoney: Thank you, Rob and good morning to everyone. Please note the statements made during this conference call including guidance on future revenue and non-GAAP EBITDA margin, along with any other statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management's current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the level of demand for our services as a result of changes in general and industry-specific economic conditions. Additional information regarding these factors is included in today's release and in CRA's periodic reports, including our most recently-filed Annual Report on Form 10-K and quarterly reports on Form 10-Q, filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures in certain measures presented on a constant currency basis on this call. everyone is encouraged to refer to today's release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. I will now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Dan and good morning, everyone. Thank you for joining us today. Revenue for fiscal 2023 increased by 5.6% to $624 million, marking the sixth consecutive year, in which CRA established a new record for annual revenue. CRA's revenue growth for the year was balanced geographically as our North American operations increased by 5% and international operations grew by 7%. for fiscal 2023, seven of CRA's 11 practices grew their top line with two practices; Forensic Services and Labor & Employment delivering double-digit revenue growth, relative to fiscal 2022. In the fourth quarter, strength across our portfolio drove an increase in revenue of 11.5%, compared to the fourth quarter of fiscal 2022. We translated this top-line expansion into profits that grew at an even faster rate. for the quarter, non-GAAP net income and diluted earnings per share increased year-over-year by 15% and 19% respectively as CRA established new all-time highs for both metrics. Our improvement reflected new project originations and consulting headcount that were more in line with our expectations. on the demand side, our project lead flow continued to expand. Notably, in the fourth quarter of fiscal 2023, the conversion of lead flow into new revenue producing assignments improved significantly approaching levels consistent with prior years and helped fuel a double-digit increase in new project originations relative to the third quarter of 2023. Retention rates within our consulting team remain high. We are pleased with the team that we have assembled and remained focused on balancing the supply of labor against the demand for our services. With this mindset, we ended the quarter with a consulting headcount of 1004, which represents a 6.9% increase year-over-year and is in line with the mid-to-high single-digit percentage increase we projected at the time of our third quarter earnings call. with conversion rates improving and as consulting headcount aligned with our expectations, firm-wide utilization surged to 73% in the fourth quarter from 66% reported for Q3. I would now like to spend a few minutes highlighting the market for our services and some of the projects delivered to our clients during the fourth quarter. Revenue in the fourth quarter from CRA's legal and regulatory services increased 16%, which surpassed growth rates observed in the broader legal market. Total case filings in the fourth quarter were up 10% year-over-year, while the number of total court judgments increased 7% year-over-year. within our legal and regulatory services, the Antitrust & Competition Economics and Forensic Services practices led the way with each delivering quarterly revenue growth of more than 20% year-over-year. In addition, our Labor & Employment practice expanded revenue year-over-year. turning to the market for our Antitrust & Competition Economics practice, worldwide M&A activity as measured by aggregate transaction value increased 23% in the fourth quarter, compared to the third quarter of 2023. Capitalizing on this increase in merger-related activity and continued demand for antitrust services, the practice established another high for quarterly revenue eclipsing the prior mark established in the second quarter of this year. During the quarter, CRA experts supported the recently completed acquisition of VMware by Broadcom. The transaction combining VMware's advanced software solutions for data center servers with Broadcom's hardware offerings for data centers, presented complex regulatory challenges that were investigated by multiple antitrust authorities across the globe; most notably, the U.S. Federal Trade Commission, the European Commission, the Competition and Markets Authority of the United Kingdom, the State Administration for market supervision in China and the Korea Fair Trade Commission. Responding to these challenges, CRA's team of economists played a crucial role in addressing the concern for antitrust authorities. The team's comprehensive analysis informed the clearance decisions and the design of effective remedies that satisfied regulators' concerns about future competition. In another transaction, CRA experts supported the first of its kind joint venture between gasoline and service station provider, BP and utility and electric vehicle charging station provider, Iberdrola. The European Commission unconditionally cleared the venture following a phase 1 investigation. CRA provided economic assistance to Iberdrola and their council on multiple possible market definitions, market shares and the competitive assessments. The CRA team calculated current and forward market shares for local candidate markets using various regional areas and different market segmentations. Our Forensic Services practice continues to experience strong demand from boards and C-suite clients, who seek help responding to allegations of fraud and misconduct such as financial statements, irregularities, cybercrime and trade secret theft. During the third quarter -- I'm sorry, during the fourth quarter, the team was called upon by the board of a large publicly-traded energy company to investigate allegations of accounting irregularities, undisclosed conflicts of interest and flawed or falsified SOX 404 internal controls testing. Ransomware attacks came roaring back in 2023 as the threat actors continue to innovate and evolve. For example, during the fourth quarter, the Forensic Services practice helped a multinational insurance broker respond to a massive breach that caused a partial network shutdown and compromised multiple servers. We eradicated the threat actor, helped the client restore operations and harden its information security environment. We also data mined a staggering quantity of structured and unstructured data. So, the client could notify impacted individuals around the world in a timely manner. CRA's Labor & Employment practice continues to be engaged across a diverse set of industries, including automotive, computer software, information technology, retail and entertainment to assist clients with proactive consulting, mediation, government agency investigations and litigation. During the quarter, the practice supported Professor Robert Topel in a matter involving an alleged monopoly and monopsony power in the sports entertainment industry. CRA experts were also retained to assist computer software and information technology firms in examining allegations of discrimination filed in federal court, as well as ongoing investigations by the California Civil Rights Department. In the wake of last year's Supreme Court ruling in the Harvard and University of North Carolina matters, our practices regularly retained to assist clients navigate diversity, equity and inclusion initiatives. within our management consulting services, our energy practice delivered double-digit revenue growth during the quarter while our Life Sciences practice also expanded its revenue year-over-year. The energy practice continued to serve its diverse client base across the energy value chain. Our clients included utilities, grid operators, investors, law firms, government agencies and large energy consumers. During the fourth quarter, the practice worked with several utilities including NiSource for their integrated resource plans and energy procurements. for system operators, the practices working with MISO, the Midcontinent Independent System Operator on several studies, including one that will support future market design. CRA experts offer testimony and confidential litigation, and arbitration proceedings, both domestically and internationally. For investors, we have provided diligence to support transactions of electric utilities and individual assets. for government agencies, the practices working with the New York regulator to audit gas utility decarbonization plans. our Life Sciences practice continues to support clients' strategic initiatives. During the quarter, the team performed a cross-functional strategic review of a portfolio of immunology for a global pharmaceutical company assessing the opportunity for a variety of possible products across the U.S., Germany and Asia, and another project supporting a European pharmaceutical company. We continue to work on drug device combination products, focusing on customer and market dynamics to inform the commercial model for inhaled product formulations, identify critical factors for pricing and access success, and laid the foundation for impactful commercial strategy. Recapping our record financial performance, CRA reported revenue for fiscal 2023 of $624.0 million or $624.1 million on a constant currency basis, relative to fiscal 2022. full-year non-GAAP EBITDA was $68.3 million, or $68.9 million on a constant currency basis. non-GAAP EBITDA margin was 11.0% on a constant currency basis. Our fiscal 2023 financial performance demonstrates our continued success in the marketplace and we are looking to continue our trend of broad-based profitable growth in the years ahead. for full-year fiscal 2024, on a constant currency basis relative to fiscal 2023, we expect revenue in the range of $645 million to $675 million and non-GAAP EBITDA margin in the range of 10.8% to 11.5%. Overall, I'm grateful to all my colleagues for their hard work during the fourth quarter and throughout the year as we helped our clients address their most important challenges. With that, I will turn the call over to Chad and then to Dan for a few additional comments. Chad?
Chad Holmes: Thanks, Paul. Hello, everyone. I want to update you on our capital deployment during the quarter. CRA continues to generate strong cash flows, demonstrating the strength in our operations and the quality of our revenue, CRA's fiscal 2023 adjusted net cash flows from operations increased 35% year-over-year to $81.6 million, stated another way during fiscal '23, CRA converted 120% of its non-GAAP EBITDA into adjusted net cash flows from operations. This strong performance is consistent with prior years as CRA has converted EBITDA into net cash flows from operations at rates of 116% and 132% over the past three and five years respectively. These cash flows represent a discretionary pool of capital used to fund reinvestment in the business and redistributions to shareholders. I will now detail how we allocated our capital during the fourth quarter. we repaid $32 million of our borrowings under our revolving line of credit to bring our year-end outstanding debt to zero as we have done in prior years. Our cash balance increased during the quarter by $18 million to end the year at $45.6 million. The fourth quarter of 2023 also saw net cash outlays for talent investments of $800,000. We spent $400,000 on capital expenditures, bringing our year-to-date total to $2.4 million. for fiscal 2024, we expect to spend $14 million to $15 million on capital expenditures to fund investments in our IT infrastructure and in support of our offices to support headcount growth in the years to come. We returned $10.8 million to our shareholders during the fourth quarter consisting of $3 million of dividend payments and $7.8 million for share repurchases of approximately 84,000 shares. for the full year, we returned a total of $42.2 million to our shareholders through a combination of share repurchases and quarterly dividends. This amount represents 52% of CRA's 2023 adjusted net cash flows from operations and exceeds our ongoing aim of returning half of our adjusted cash flows from operations to shareholders. As announced earlier today, CRA's board of directors authorized an expansion to our existing share repurchase program of an additional $35 million in value of shares of common stock. With this expansion, we have approximately $46.4 million available under our share repurchase program. Taken together, our capital allocation decisions demonstrate continued confidence in CRA's long-term prospects as we look to invest in the business for profitable growth while at the same time returning substantive capital to our shareholders. With that, I will turn the call over to Dan for a few final comments. Dan?
Daniel Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the fourth quarter of fiscal 2023. In terms of consultant headcount, we ended the year at 1004 consisting of 156 officers, 527 other senior staff and 321 junior staff. This represents a 6.9% increase, compared with the 939-consultant headcount reported at the end of fiscal 2022. Non-GAAP selling general and administrative expenses, excluding the 1.9% attributable to commissions to non-employee experts was 16.1% of revenue for the fourth quarter of fiscal 2023, compared with 16.7% a year ago. This quarter's ratio was positively impacted by the growth in revenue. for the full-year fiscal 2023, the ratio was 16.2%, compared with 15.5% for full-year fiscal 2022. The effective tax rate for the fourth quarter of fiscal 2023 on a non-GAAP basis was 26.1%, compared with 22% on a non-GAAP basis for the fourth quarter of fiscal 2022. The higher rate in the fourth quarter of 2023 was largely attributable to a lower benefit arising from the accounting for stock-based compensation and an increased UK statutory rate that went into effect in the second quarter of fiscal 2023. Turning to the balance sheet. DSO at the end of the fourth quarter was 105 days, compared with 114 days at the end of the third quarter of fiscal 2023. DSO in the fourth quarter consisted of 73 days of billed and 32 days of unbilled. We concluded the fourth quarter of fiscal 2023 with $45.6 million in cash and cash equivalents and a further $195.5 million of available capacity on our line of credit for total liquidity of $241.1 million. That concludes our prepared remarks. We'll now open the call for questions. Rob, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from Marc Riddick with Sidoti & Company. Please proceed with your question.
Marc Riddick: Good morning.
Paul Maleh: Good morning, Marc.
Marc Riddick: So, the trends that we saw at the end of the quarter and going into this year, certainly have improved significantly and you've certainly covered a lot of that. I was wondering if you talk a little bit about maybe some of the drivers with that and into the guidance, the revenue guide for '25 as well. You've sort of made commentary as far as what you've seen with M&A sort of driving some activity, as well as case filings. but it certainly seems to be kind of across the board. So maybe, can we sort of touch a little bit on those drivers and sort of how you feel as though those might play out for the year and then I have a follow-up around the CapEx commentary?
Daniel Mahoney: Sure, sure. Let me give it a shot. If it wasn't for the volatility that we experienced through fiscal 2023 with respect to new revenue-generating projects, the year went pretty much as expected. The lead flow coming into this organization across the portfolio was in line with what we expected. What we didn't expect is the whipsaw nature of the conversion rates from quarter to quarter. So from that, I take that the foundation of our demand remains strong throughout the year. I wish I can say that the fourth quarter of fiscal 2023 was significantly different than the other quarters, but it was not. it was simply that the conversion of these matters started to turn over and were able to get work on a timely manner to that. With respect to the broader demand environment, we still see case filings coming through. There are glimpses of hope in terms of the broader macroeconomic conditions that M&A activity will improve in fiscal 2024. I'm cautiously optimistic there, given the broader expectations that we're reading about. and I think CRA is pretty well positioned. We try to move that optimism into our guidance. The one thing difference, I would say from years prior, I tried to just increase the range a bit given the volatility that we experienced in 2023. hopefully, we will not need to use that entire range. But that's the reason for the slight expansion on the top line.
Marc Riddick: That's helpful. And then could you talk a little bit about, I guess, the commentary on the CapEx and then the investments that we're looking at there. Can you discuss a little bit about what's being planned and sort of how that might flow through the year?
Daniel Mahoney: Sure. I would say that those are good outlays to have, right.
Marc Riddick: Yes.
Daniel Mahoney: We need to start investing in some expansion of our office locations, just because we're growing and a professional services firm, growth is tied to having more colleagues. So, we welcome those outlays. The other part is part of our normal planning in terms of strengthening our infrastructure and strengthening our ability to provide services to the consulting side of our operations. We are looking to upgrade some of our IT infrastructure throughout the year. But this was pretty much planned for a while. This is not tied to Q4 or not tied to our expectations in fiscal 2024.
Marc Riddick: Okay. Got you. And then you made commentary around the -- certainly, the strength in the multiple practice areas. I think it was seven of the 11 growing year-over-year. Can we talk a little bit about maybe if there are any particular areas, where you would like to add more head count vis-à-vis, where you ended the year of their any particular practice areas that you'd like to target as far as increases there?
Paul Maleh: Yes. Here, I feel like a parent, in that I love all my children and I think all my children are capable of really delivering strong performance. The reason we have a portfolio is sometimes growth is not linear. You have a little bit of a saw tooth pattern, as long as I have an upper trajectory there. I'm very happy with a portfolio of services that are provided. As we talked about at the Investor Day, our three largest practices comprised of our Antitrust & Competition Economics practice, Forensic Services and Life Sciences practice, all account for roughly 70% of total firm revenue. with that, they're also going to get the majority of the talent investments and the majority of the hiring focus, just because of the size and let's not also lose sight that they have delivered time and time again. So, I see talent investments going there. I've been talking about trying to find opportunities for a step change growth in our energy practice. I think the market is receptive to that. I think the practice deserves that. Because they are delivering what I would call pure organic expansion across their operations. And anytime we're looking for talent investments, you want to have a healthy host. And our energy practice has just that. The other practices I'll just quickly touch upon is labor and our finance practice, I would love to try to find ways to continue to bolster their offering. So, it's a lot of different practices. but quite frankly, it aligns with our overall strategy in that, I think there's a lot of greenfield in our space and I think there's a lot of depth within the services that we have demonstrated excellence in the past on.
Marc Riddick: Okay. Excellent. Thank you very much.
Paul Maleh: Thank you, marc.
Operator: Excuse me. Our next question is from Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Good morning.
Paul Maleh: Hey. good morning, Kevin.
Kevin Steinke: How are you?
Paul Maleh: Good. Good.
Kevin Steinke: Good, good. Well, I wanted to follow up on one of Marc's questions there. You talked about the slowdown and conversions, and originations -- the conversion ratio and originations in the third quarter as being broad based was the pickup in the conversion ratio and project originations also broad based as you saw in the fourth quarter?
Paul Maleh: Yes. it was, it was. and again, the -- seeing the broad-based drop and rise across the portfolio adds to a little bit of my confidence that I shared earlier in the year that I don't think these drops are the result of us losing market share. I think they're just broader market volatility factors impacting us.
Kevin Steinke: Okay. And so I don't know if you -- is your team is out in the field and interacting with clients, if there are any themes or reasons that might have led to the improvement, the conversion ratio and the number of originations. I know you had kind of pinned it on macroeconomic uncertainty. Do you have a sense that the client base is just getting a little more comfortable with the economic outlook or any other factors you might attribute the improvement to?
Paul Maleh: Yes. we've all seen some reduction. How about, in my most negative light, I can put on it towards the -- throughout '23, we saw a reduction in the uncertainty in our macroenvironment. I think people are feeling a little better as the direction of inflation. People are feeling a little better with respect to overall interest rates for borrowing. So, that has helped reduce some of the uncertainty. I can't speak whether everyone is feeling more comfortable releasing discretionary dollars for services or not. but the fact that we see signs of life in the M&A market, I think are going to this overall reduction of uncertainty and maybe better times ahead.
Kevin Steinke: Okay. That's helpful. And so as we think about the 2024 guidance that you provided, what are you assuming for the lead flow conversion ratio and also consultant utilization? Are you essentially assuming that both conversion and utilization are back to kind of normalized levels?
Paul Maleh: So, in my best non-answer to you, Kevin, it really depends on what part of the range you're going to focus on. Clearly, as we get to the upper half of the range, I am assuming more of a return to normal operations that are consistent with years past on that. So, our goal is always to try to operate this firm in mid-70's utilization. I think that produces capacity for innovation. It could -- produces capacity for profitable growth to adequately return capital to shareholders and reward my colleagues for it. So, that hasn't changed for it. You're always going to have volatility quarter to quarter on utilization. It's just a way of life particularly with the holidays and as a new people come aboard with that. But medium long-term, we're still at the mid-70's utilization target.
Kevin Steinke: Okay. Yep. Understood. and so what did -- what sort of trends have you been seeing lately in terms of attrition among the junior consultant ranks? Is that still significantly below normal levels or has there been any meaningful change there?
Paul Maleh: Yes. I got corrected by one of my colleagues when talking about this subject matter. And I was told that attrition is a very negative way to look at it. We're having -- we're enjoying really strong retention across the board. I'm pleased with that. I'm sure there are factors in the environment that we're creating. But I also realize that the uncertainty in the broader market is impacting the ability of people to move from one occupation to another. But we're going to take advantage of that, right at 73% utilization near record performance across the board in Q4. We needed all of those heads. We haven't seen any kind of dramatic shift one way or another in our retention rate. Q1 into Q2 is sometimes telling as we get through bonus cycle and as we approach summer of whether we're going to start seeing retention rates approach more historical standards.
Kevin Steinke: Okay, great. And then just in terms of lead flow, you mentioned it continued to be strong in the fourth quarter. I don't know if -- did you have a growth rate for the lead flow, I think you've talked about that the least -- last few quarters, but I didn't know if you had a specific number you could share.
Daniel Mahoney: It's a good question. What I'm going to do is, I should have that in front of me, Kevin. I don't. what I'll try to do is, I'll try to find it and next communication on one of our investor days, I will share that information. but I do not have it readily available.
Kevin Steinke: Okay. No problem. Well, thanks for taking the questions and congratulations on the strong results. I'll turn it back over.
Paul Maleh: Great. Thank you.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Paul Maleh for closing comments.
Paul Maleh: Again, thanks to everyone for joining today's call. We appreciate your time and interest in CRA. As I mentioned to Kevin, we'll be participating in virtual meetings with investors in the coming weeks and months, and we look forward to updating you on our progress on our first quarter call. With that, that concludes today's session. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time and we thank you for your participation.